Operator: Good afternoon, and welcome to the Digital Realty Fourth Quarter 2019 Earnings Call. Please note this event is being recorded. [Operator Instructions] Due to time constraints, we will conclude promptly at the hour. I would now like to turn the call over to John Stewart, Digital Realty's Senior Vice President of Investor Relations. Please go ahead.
John Stewart: Thank you, Sean. The speakers on today's call are CEO, Bill Stein; and SVP Finance, Matt Mercier; CIO, Greg Wright; CTO, Chris Sharp; and Corey Dyer, EVP Sales and Marketing, are also on the call and will be available for Q&A. Management may make forward-looking statements, including guidance and the underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our 10-K and subsequent filings with the SEC. This call will contain non-GAAP financial information. Reconciliations to net income are included in the supplemental package furnished to the SEC and available on our website. Investors are encouraged to read the proxy statement and prospectus with respect to the proposed transaction between Digital Realty and interaction and other relevant documents filed with the SEC because they contain important information. You may obtain a free copy of these documents from the SEC's website at sec.gov or from the websites, our Investor Relations department of either Digital Realty or Interxion. Before I turn the call over to our CEO, Bill Stein. I'd like to hit the tops of the waves on our fourth quarter results. We extended our global footprint, reaching agreements to a combine with Interxion and to enter India. We enhanced our portfolio quality, recycling capital from fully stabilized assets into network dense interconnection hubs. We launched platform digital, a unique global data center platform designed to enable customers to scale digital business. We advanced our sustainability initiatives with incremental renewable energy agreements and several industry awards. Last but not least, we've further strengthened the balance sheet, locking in long-term debt and preferred equity capital at record low coupons. With that, I'd like to turn the call over to Bill.
Bill Stein: Good afternoon, and thank you all for joining us. Our formula for long-term value creation is a global, connected, sustainable framework. We advanced each of these three pillars in 2019, culminating with the addition of a new member to the Digital family, and we'd like to congratulate our friend and partner Andy Power along with his wife Sarah on the arrival of their baby girl Power Madison Elizabeth earlier this week. We continued to expand our global footprint. The highlight was, of course, our entry into a definitive agreement to combine with Interxion in a highly strategic and complementary transaction that will create a leading global provider of cloud and carrier-neutral data center solutions. We also executed a memorandum of understanding with the Adani Group to pursue a joint venture in India and we are actively exploring opportunities to plant our first flag in this vast untapped market with tremendous growth potential. Yesterday we announced an agreement with Clise Properties to acquire a 49% ownership interest in the Westin Building Exchange in Seattle shown here on Page 3. The Westin Building is one of the most densely interconnected facilities in North America. It is home to leading global cloud content and interconnection providers with over 150 carriers and more than 10,000 cross-connects. As you are probably aware, we've closed $1.4 billion of asset sales over the past three months. Pro forma for the asset sales of Westin Building and the combination with Interxion, network dense performance sensitive assets will make up nearly half our portfolio, up from a little over one-fourth as of September 30th. Taken together, you can see the strategic direction uniting each of these individual pieces. We are deliberately recycling capital from stabilized assets and reinvesting in higher growth opportunities sacrificing near-term earnings growth for long-term value creation. We've also made significant strides extending our sustainability leadership as outlined here on Page 4. In October, we announced renewable energy agreements in Northern Virginia and Oregon. In November, we were honored to receive NAREIT's Leader in the Light Award for data center sustainability for the third consecutive year. In January, we earned EPA ENERGY STAR Certification for exemplary energy performance in 29 data centers. The second year in a row we are in the most ENERGY STAR Certifications in the sector. Also in January, we issued €1.4 billion of green euro bonds. This was our third green bond issuance, and we are now the largest U.S. REIT green bond issuer. Our green bond framework is aligned with ICMA Green Bond Principles, with a second party opinion provided by Sustainalytics. Also in January, and away from Digital, some of our largest customers and investors unveiled sweeping sustainability commitments with a particular emphasis on improved disclosure for shareholders. We have included SASB-aligned disclosures in our 10-K for the past two years and our ESG Report includes extensive additional information about our approach to managing the impact of climate change. Our ESG Report also addresses relevant themes of the TCFD framework. We are committed to managing our environmental impact and then optimizing our use of energy and natural resources, because we believe it's the right thing to do, and because it matters to our customers, our investors and our employees. We are committed to delivering sustainable growth for all stakeholders and serving a social purpose. In January, we announced the appointment of two new directors, expanding the size of our Board from nine to 11. The governance principle behind our Board refreshment philosophy is balancing fresh thinking and new perspectives with experience and continuity. The average tenure on our Board is less than six years, whereas, our Chairman and former Chairman have both served on the Board since our IPO. We are particularly excited about the new perspectives and expertise our two new Directors will bring to the Board. Specifically, Alexis Black Bjorlin brings unique connectivity and customer perspective from her experience at leading global providers across the cloud and communications value chain. While Lieutenant General Dash Jamieson brings in valuable cyber security expertise from her tenure as former Director of U.S. Air Force Intelligence Surveillance, Reconnaissance and Cyber Effects Operations. We are delighted to welcome them both to our Board and we look forward to benefiting from their leadership and expertise for years to come. Let's turn to Page 5 for an update on Interxion. In early January, we raised €1.7 billion of euro bonds with a weighted average maturity of approximately seven years and a weighted average coupon of approximately 1%. We intend to use a portion of the net proceeds from these bonds to refinance Interxion 's outstanding debt. The bond offering is not contingent upon completion of the combination with Interxion, but if the combination is not consummated before the end of next January, then we will be required to redeem €1.4 billion of the euro bonds at 101% of par. In late January, the SEC declared our S-4 registration statement effective and we launched the exchange offer for shares of Interxion. Purely after our registration statement went effective, Interxion filed its Schedule 14D-9, which included the background on the transaction from their perspective, fairness opinions from their advisers and their Board's unanimous recommendation in support of the exchange offer. Once the Schedule 14D-9 was filed, both companies began mailing proxy materials for our respective shareholder meetings, which are scheduled for February 27. In terms of the regulatory process, we've received clearance from the antitrust authorities in Austria, Germany and the Netherlands and we are now just waiting for decisions on our foreign investment filings in France, and Germany where we currently own and operate data centers. In terms of integration, planning activities are underway, but until the transaction closes, it remains business as usual and we continue to operate as two independent companies. In terms of timing, we remain on-track and subject to regulatory clearance and other closing conditions, we expect to close sometime in the second quarter. Let's turn to Page 6. During the fourth quarter, we launched PlatformDIGITAL, a continuation of our focus on the customer in an evolution of our Connected Campus strategy as we also unveiled our platform roadmap to underpin the next wave of digital transformation in response to market demand. Enterprise customers are demanding a global fit for purpose data center platform experience to rapidly deploy, connect and host distributed IT infrastructure to scale their digital business. To address this demand, we introduced four solution offers productizing specific combinations of space, power, cross-connect and management controls. These solutions enable enterprise deployments of network, security and data infrastructure at global points of business presence. The launch of PlatformDIGITAL has been well-received by industry, including customers, partners and industry analysts. At MarketplaceLIVE in November, Cisco, IBM and Vapor launched partner validated versions of PlatformDIGITAL solutions and numerous industry analysts published highlight reports. We are excited about the PlatformDIGITAL launch as it positions us to capture the significant incremental addressable market by serving the global needs of the enterprise. Let's turn to the favorable secular demand drivers underlying our business along with industry analysts recognition of the leadership role Digital Realty has to play here on Page 7. According to the IDC CEO Survey, digital transformation is expected to enable over $18 trillion of economic value add over the next three years. Gartner recently paid enterprise global IT spending at almost $4 trillion, reflecting rapidly growing investment to build distributed IT and data center infrastructure. During the fourth quarter Digital Realty was named as a worldwide leader in the IDC MarketScape Colocation and Interconnection Services Vendor Assessment Report, noting that PlatformDIGITAL provides a global scale platform to enable digital transformation in a consistent modular basis. We are honored by the strong confirmation of Digital Realty's unique positioning to capture the global data center demand opportunity. We continue to see early indicators of digital transformation demand on our platform, we captured a record number of new logos last year led by our enterprise vertical, as these customers begin to deploy and connect components of their digital infrastructure globally. Given the resiliency of the demand drivers underpinning our business and the relevance of our portfolio to meeting these needs, we believe, we are well positioned to continue to deliver sustainable growth for customers, shareholders and employees whatever the macro environment may hold in store. With that I'd like to turn the call over to Matt Mercier to take you through our financial results.
Matt Mercier: Thank you, Bill. Let's begin with our leasing activity here on Page 9. We delivered another solid quarter of leasing activity with particular strength in APAC and the Americas, we signed total bookings of $69 million, just shy of our all-time second best, fourth quarter bookings included a $7 million contribution from interconnection. We signed new leases for space and power totaling $62 million, with a weighted average lease term of a little over six years, including an $8 million colocation contribution. I would like to point out that we see the lines blurring between product types and the distinction is becoming less meaningful. As a result, we expect to evolve our disclosure in the coming quarters to more closely align with our customers' buying behavior and the way we manage the business. We aim to consistently improve the transparency of our financial disclosures and as always, we welcome additional input from analysts and investors in the process. During the fourth quarter, we added 51 new logos. This was our third highest new logo quarter and our two best came in 3Q '19 and 2Q '19. For the full year, we added 250 new logos. Nearly, 40% better than the prior year, underscoring the traction we're gaining within our enterprise segment. In APAC, we saw strength in Sydney, Singapore and Osaka. In the Americas, we quietly leased another 18 megawatts and Ashburn during the fourth quarter and similar to the previous quarter our biggest deal in this market was just 6 megawatts, demonstrating broad-based strengths of demand. As Andy predicted last quarter, the Ashburn pendulum has swung back a bit quicker than just about anyone expected a year ago. In the tremendous scale and the connectivity of our Ashburn Connected Campus outperformed in a crowded, competitive backdrop. On the heels of additional activities since year-end our Northern Virginia active development pipeline is now 100% pre-leased. We've not yet begun to see upward pressure on pricing given competitive supply elsewhere in the market, but rental rates have stabilized. We are beginning to field mutually exclusive requirements for the remaining capacity and available blocks of contiguous inventory are becoming scarce. Needless to say, while the Ashburn market is not entirely out of the supply and demand woods just yet, we remain bullish on the long-term prospects for communications, infrastructure in the Commonwealth, as well as our position in the market, given the diversity of our large and growing installed base of customers seeking additional footprint on the campus, as well as the value of our strategic land holdings, which provide the longest run rate for their growth. Several specific fourth quarter wins speak directly to our ability to address customer needs with our global platform and full product spectrum offering. PathAI is the world's leading provider of AI-powered technology for advancing pathology research, using machine learning and deep learning techniques to drive towards faster, more accurate diagnosis of diseases like cancer. The Boston based startup partners with some of the world's largest life science companies, such as Bristol-Myers Squibb, LabCorp and Gilead Sciences. As a company that was born in and until now operated exclusively in the cloud, this is PathAI's first deployment of physical infrastructure. Given the GPU intensive nature of their IT environment and the rapid growth, PathAI was struggling to control their monthly cloud spend. Their deployment into Digital Realty move-in ready capacity will enable them to pull over 80% of their GPU workload out of the cloud to better manage and predict the cost associated with their high performance computing environment. Our PlatformDIGITAL solution address multiple needs for a global social media provider, including the need for network point of presence with the ability to connect directly to our communities of interest locally and globally, as well as a testing environment for their larger deployment in the same location. This customer was able to leverage our Connected Campus and Internet Gateway, which is really the power of PlatformDIGITAL. The ability to connect to the subsea cable that provide substantial bandwidth for traffic to markets across Asia Pacific was another key driver. They trusted the Digital Realty team and we're confident, we can move quickly, think creatively and most importantly, execute. We enjoyed notable success, re-leasing previously occupied or move-in ready inventory with the U.S. based designer, developer, manufacturer and global supplier of a broad range of semiconductor and infrastructure software products. The Digital Realty team closed a multi-site, multi-country deal with this customer that included a combination of move-in ready locations whilst a large colocation deployment. Digital Realty was awarded the business due to our ability to quickly negotiate terms while remaining flexible in scope to be into market and expansion options. This win was a prime example of our global multi-product platform meeting our customers' digital transformation need. Last but not least, just to give you an example of the breadth of companies using PlatformDIGITAL to enable and help scale their business, we landed a deal this quarter with an advertising company that creates patented, world-class ad tech that delivers viewable high impact ad formats for brands, agencies and publishers looking to maximize ROI. They serve their global client base through an unmissable digital ad formats using patented ad serving technology. They selected Digital Realty because we offer a flexible solution they could customize as they grew, as well as connectivity to global Internet providers. Turning to our backlog on Page 11. The current backlog of leases signed, but not yet commenced stepped up from $99 million as of September 30th, to a $116 million at year-end. The lag between signings and commencements during the fourth quarter was a bit better than our long-term historical average at four months. Moving on to renewal leasing activity on Page 12. We signed a $117 million of renewals during the fourth quarter in addition to new leases signed. As you may recall, 2019 was our all-time high in terms of lease expirations and we signed over $500 million of renewal leasing in 2019, more than 50% higher than our previous record year with a weighted average lease term of nearly nine years. For the full year, we retained a little over 80% of expiring leases right in line with our long-term average while cash rents rolled down 1.3%, much better than our initial expectation of down high single-digits. As you may recall, we successfully executed both legacy deal our long-term top customer renewals, as well as the long-awaited legacy DFT customer renewal in 2019. As you can see from the lease expirations schedule on Page 13, less than 16% of the portfolio expires in any given year compared to the 23% we faced at the beginning of last year, which should set the stage for a low churn hurdle going forward. Aside from a few select supply constrained regions in metro areas, we have yet to see broad based rental rate growth across most markets. However, we are continuing to make significant progress cycling through peak vintage renewals, a lion's share of our portfolio has recently been leased at current market rates and we are beginning to see barriers to entry emerge in a growing number of markets around the world. As a result, we expect to see continued gradual improvement on cash re-leasing spreads into 2020 and beyond. In terms of fourth quarter operating performance. Overall portfolio occupancy slipped 60 basis points to 86.8%, due to a handful of move-outs across the portfolio. After successfully navigating the record expiration year in 2019, we expect to generate positive net absorption in 2020 with improving portfolio occupancy on the heels of significant progress back filling this recently available capacity. For the full year, same capital cash NOI was down 4%, at the low end of our guidance and reflecting an 80 basis point FX headwind, continued pressure on property taxes as well as the record high lease expirations in 2019. Although, we still face some same-store headwinds from higher property taxes and downtime from refurbishing and re-leasing available capacity. We do expect to see improvement going forward. The U.S. dollar continued to climb relative to prior year exchange rates and FX represented roughly a 70 basis point headwind for the year-over-year growth in our reported results from the top to the bottom line. Turning to our economic risk mitigation strategies on Page 14. We manage currency risk by issuing locally denominated debt to act as a natural hedge. So only our net assets within a given region are exposed to currency risks from an economic perspective. In addition to managing foreign currency exposure, we also mitigate interest rate risk by proactively terming out short-term variable rate debt with long-term fixed rate financing. Given our strategy of matching the duration of our long lived assets with long term fixed rate debt, a 100 basis point move in LIBOR would have less than a 20 basis point impact to full year FFO per share. Our near-term funding and refinancing risk is very well managed and our capital plan is fully funded. In terms of earnings growth core FFO per share was down 3.6% year-over-year. Primarily due to two months of dilution from the Mapletree joint venture, while we are not providing formal guidance for 2020 at this time given the number of moving parts related to our pending strategic combination with Interxion, as well as the acquisition of our partners interest in the Westin Building. We do want to share a few forward-looking data points. On a standalone basis, we expect reported top line revenue growth for Digital Realty to be roughly flat year-over-year. Reflecting the full year impact of $1.4 billion of asset sales as well as a one quarter consolidated revenue contribution from Ascenty in 2019. Prior to closing the joint venture with Brookfield on the last day of 1Q '19. Adjusting for the revenue related to these private capital efforts and excluding any potential contribution from the Westin Building acquisition, we expect to generate organic revenue growth in the mid single-digits in 2020. We expect to maintain industry leading EBITDA margins in line with the prior year. In terms of financing, we have positioned the balance sheet with outsized liquidity in anticipation of closing the combination with Interxion. In January, we closed on the $557 million Mapletree portfolio sale at a 6.6% cap rate. We also successfully raised €1.7 billion of Euro bonds at a blended coupon of 1%. As you may recall, €1.4 billion of these Euro bonds will initially be used to refinance Interxion 's outstanding debt. These bonds included a special mandatory redemption provision and will be retired at 101% of par if the Interxion transaction does not close. Last but not least, we expect to settle our $1.1 billion equity forward in the third quarter. Hopefully, this high level color provides some context for our 2020 outlook and we expect to provide formal guidance, along with the underlying assumptions on the heels of closing the combination with Interxion. Last, but certainly not least, let's turn to the balance sheet on Page 15. Net debt-to-EBITDA dropped by four-tenths of a turn to 5.7 times at year end. As proceeds from Mapletree joint venture were used to pay down debt. While fixed charge coverage remained healthy at 4.1 times. Pro forma for the Mapletree portfolio sale and settlement of the forward equity offering, net debt to EBITDA remains in line with our targeted range at approximately 5 times. While fixed charge coverage is approximately 4.6 times. In terms of capital raising activity, in early October, we raised $345 million of perpetual preferred equity at 5.2%, an all-time low preferred equity coupon for Digital Realty. The next day we opportunistically tapped the euro bond market, raising approximately €550 million of 8.5 year paper at 1 and 8. Finally, in early January, we came back to the euro bond market and raised the €1.7 billion of euro bonds to refinance Interxion 's outstanding debt. Bill mentioned the weighted average maturity was approximately seven years and the weighted average coupon was approximately 1%. This successful execution against our financing strategy is a reflection of the strength of our global platform, which provides access to the full menu of public, as well as private capital, sets us apart from our peers and enables us to prudently fund our growth. As you can see from the chart on Page 16, our weighted average debt maturities over six years, and including the January bond issuance, we whittled our weighted average coupon down another 25 basis points this quarter to 2. 9%, a little less than half our debt is non-U.S. dollar denominated, acting as a natural FX hedge for investments outside the U.S. Over 90% of our debt is fixed rate to guard against a rising rate environment and 99% of our debt is unsecured, providing the greatest flexibility for capital recycling. Finally, as you can see from the left side of Page 16, we have a clear run rate with virtually no near-term debt maturities and a no bar too tall in the out years. Our balance sheet is poised to weather a storm, but also position the dual growth opportunities for our customers around the globe. Consistent with our long term financing strategy. This concludes our prepared remarks. And now, we'll be pleased to take your questions. Sean, would you please begin the Q&A session?
Operator: [Operator Instructions] Our first question will come from Jon Atkin with RBC. Please go ahead.
Jon Atkin: So my first question is around the transaction with Interxion and wondering, if you have any sort of thoughts about the anticipated timing around the foreign investment filings in France and Germany that you alluded to? And then as you proceed with planning, I know you're understandably limited to a degree, prior to the close. But what steps are you able to take over in Europe, prior to the transaction close to facilitate the integration once the deal is concluded?
Greg Wright: Jon, it's Greg Wright, let me take your question. The first one, with respect to where we are in the Interxion transaction, again, specifically, let's just go through a couple of things. We have received antitrust clearance as Bill said, in all three jurisdictions where we need approval in terms of Austria, Germany and The Netherlands. And that's on the antitrust clearance side. We're still awaiting decisions for the foreign investment filings in both France and Germany and look, we're - we think - one thing that's encouraging is we're already in both of those markets. And then trying to handicap, when that comes back, it's hard to do. But we will say, so far, we feel like we're making progress where we should be. And that's really all we have at this point, but we'll continue to announce to the market as we get additional findings there. That was your first question. On the second question, with respect to the steps to integration, we're currently planning for integration, as you could imagine. So far though, the primary focus has been on regulatory approvals going effective with the SEC and launching our exchange offshore. And now we have started to ramp up the integration effort with our colleagues, Interxion. We've gotten to the point where we're identifying people and teams to lead the integration. We've identified and we're working with integration consultants. And we were at a point where we're allowed to have certain people on both sides connect with each other. And clearly, we're making sure that we always consult with the lawyers to make sure we do the right things where we can and can't. So that's where we are with respect to that.
Jon Atkin: And then maybe just a follow-up more on the operational side, but PlatformDIGITAL, curious which metros you've been seeing the most commercial progress towards driving more connectivity driven and retail business. Any color around sales cycles and is there any kind of lengthening or shortening that you're seeing as well as kind of book-to-bill trends you talked about that, I think maybe in reference to wholesale, but anything sort of commercially as it relates to connectivity and then retail and PlatformDIGITAL would be interesting to hear.
Corey Dyer: Jonathan, this is Corey Dyer. Just going to help out with the PlatformDIGITAL question you had. And you asked a little bit about where we see it happening and where we see it taking route to begin. And I would tell you that, that platform digital really is about the enterprise and selling globally. So it's not really a situation where we're going to look at specific markets for it. But, that said, we launched it in November in MarketplaceLIVE, our new event that we put out or resurrected, really good feedback from all the media analysts, the analysts themselves. If you look the IDC report that we referenced earlier, it has just up in the leader segment for that along with one of their group. So really happy with how it's been rolled out and what we're seeing from traction with customers. So it's been great there, across the entire globe for us. We referenced earlier at couple of different wins. We had one of the largest investment banks, deployed six different network hubs with us to help out with their architecture, as well as servicing their customers and their employees. We also have a large agricultural firm do the same kind of deployment across multiple regions with us. So we've seen it pickup really well for us. And then, I think your questions around commencement date with the follow-on question I think Jordan. And what we think we're going to see is a little bit shortening of that. To your point around wholesale, we tend to see that commence a little bit later. These are going to drive a little bit more co-location for us, a lot more enterprise wins and you'll see a much quicker or shorter time between booking and commencement. I think that answered all the questions. Greg, do you have anything else?
Greg Wright: No, I think you've covered it. Thanks, Jonathan.
Operator: Our next question will come from Jordan Sadler with KeyBanc Capital Market. Please go ahead.
Jordan Sadler: So just wanted to circle up to the Seattle acquisition that you announced and discussed on the call here. The thought process on this transaction and the return profile relative to sort of legacy digital and perhaps as well as the growth profile versus Digital. And then, maybe thinking how this sort of corresponds or relate to sort of what you're doing over in Europe if at all.
Greg Wright: Jordan, this is Greg. Let me take that question. And like with respect to the Westin transaction, look, I think Bill had gone through really the merits of the transaction, whether it's boosting connectivity and network density. As he mentioned, this is the sixth most interconnected building in North America, you have 250 plus networks and over 10,000 cross connects. It really is the Internet gateway to the Pacific Northwest. And when you look at it in terms of connectivity. First of all, the way the process start is our partner has been a terrific partner, the Colony's family and their company. We've had a longstanding relationship with them. And they decided they wanted to sell. So for us, given how much and we've always said, our strategy has been that we want to increase our ownership to Internet Gateway and highly connected assets. And you really when you and that's your mandate, you can't get any better than the Westin building. So that was really the rationale behind it. In terms of returns, look, I would say I sort of a mid to high 5% cap rate, call that little less than 18 times on an EBITDA multiple basis. And in terms of growth projections, I mean. clearly, with any of these highly connected Internet Gateway buildings, we expect greater growth one than our portfolio average, just because these buildings as we know from Saramacca, 60 Hudson and the like. Those buildings are very special. And so you really do get outsize growth with them. So that was really the strategic rationale. In response to your question with respect to Europe, It's a very similar strategy when you really think about it, right? In terms of the Interaction transaction, I mean, we've said for quite some time now. We've had several objectives. One was we did want to expand our footprint in Europe. Secondly, we wanted to increase our ownership again of Internet Gateway and highly connected assets. We really were striving for a leading European platform and the team. And with all that, we were looking for a significant development platform. And needless to say, with Interaction, we get all of that. And so one of the real benefits to digital there. And then, we're going to get a broader footprint and product offering to serve our customers, which is most important. In Europe and beyond, we're going to be able to do a lot of what they do best and overlay that onto our portfolio. That too is going to result. just as we talked about the Westin building and accelerated growth. And ultimately, with the combination of all of that, it's going to result in increased value creation in our minds. So, I think I've covered your questions Jordan. If I missed, please let me know.
Jordan Sadler: No, I think you nailed it. I assume we're going to close in the next couple of months or so. But as it relates to, I'll move on to Ashburn, I wanted to come back. It sounded like, yes, you are quietly signing some significant leases here 18 meg. Can you maybe provide sort of the - were there any new logos in that market signed in the quarter? And then, anything else you can sort of, any other insight you can offer in terms of availability within your portfolio. You said you're, I thought you said part of, I think you said you were largely leased on your development there. But it sounds like you're sorting out some or scoping out some availability as well.
Matt Mercier: Yes, Jordan. This is Matt. So I think we've had a lot of success in Northern Virginia both this quarter and last quarter. This quarter Northern Virginia was our number one market for leasing. And overall, I think as we've said in the prepared commentary the market really come - really come back in the second half of the year, although absorption was down, down a bit from 2018 was actually higher than 2017 overall. I think to your question, specific question subsequent to end of the quarter, we leased another 20 megawatt in that market, 12 megawatt of those were in the - our development portfolio, which now brings add up to a 100% lease and another 8 megawatt was within our operating portfolio, which was already I think slightly over 90% leased, so, improves the occupancy in that market as well, so we're excited about the Northern Virginia market and we're continuing to see robust demand there.
Greg Wright: Yes. Thanks, Jordan. I'd also like to add a little bit of - just overall work that we've done in that market with our master plans and our land banking. It really allows us to be very prudent on how we can bring infrastructure to our customers in a very balanced manner. And I think new logos is one way to look at it, but it's also new types of infrastructure coming to market. So as you see AI and machine learning becoming more prevalent with all of these major providers, they want to be in proximity to their existing infrastructure. So the work that we've done in that market to master plan the right of ways, and really start to think through how we can future prove to their existing assets and provide a path for them to grow and launch all these new services. It's something that's very unique in that market and we continue to look at the future growth there. It'd be differentiated than what we can provide through a lot of those customers,
Operator: Our next question will come from Michael Funk with Bank of America. Please go ahead.
Michael Funk: A couple if I could. I am just going to following on onto last question, it's probably pretty wide range a commentary, about kind of the funnel hyperscale demand in general. Maybe just tie that back to your commentary about Ashburn, what you're seeing there and this funnel in general. And then one of the interactions, if I could maybe remind me about the tax ability for that deal for Interaction Investor were seeing the other details behind that.
Corey Dyer: So Michael, this is Cory, I'll take the first part of the question around just the Ashburn competition, because I think that's what you're driving and we'll figure out somebody else for the other questions around the taxes. First off, yes, we've been successful in Ashburn, really about the value of our platform and really the diverse offering that we have. You think about what we've got with customers that are already there and how they're going to build onto it. So, we've got some customers that are already installed there and they're looking for adjacency in the campus, adjacency sometimes in the same building. So that helps us a lot. The same customers are often the scaling customers that we're working with globally and having the relationships from the contracts and everything we do to take care of them on a regular basis, helps us continue to win those deals and those opportunities. And then finally, yes, we're working through the Tetris game of how we accommodate the demand that's continue to come for us and make sure that we're there to take care of them and continuing to build on our success in Ashburn. So we're excited about it. And I think you also asked about our plat our qualified pipeline and we're feeling very strong about that. So we're well positioned for this year with a good start.
Michael Funk: And then just a follow-on.
Greg Wright: Mike. Let me...
Michael Funk: Sorry, go ahead
Greg Wright: Sorry, go ahead.
Michael Funk: I've got a follow-on, I think you clarified so, I mean are you saying that kind of diversity of the customer base is I guess 80 new Westin bookings that you're seeing more diverse customer base, whether it's industry wide or geographically. Is that part we're seeing here?
Matt Mercier: Yes. Let me, this is Matt. Let me take. I mean, we saw in Northern Virginia, we had pretty widespread activity across multiple customers within cloud, content and gaming, we're really leading the way within that market. And also, a number of international clients coming into Northern Virginia. So we had major signs of also APAC-based technology companies within that market as well in the quarter and we expect to continue that going forward.
Greg Wright: Yes. Hey, Michael, it's Greg. Sorry to interrupt you there before. And look, with respect to your second question on taxation of the Interxion transaction, you're right. Look something as we had outlined in the S-4, and I had actually mentioned on the original call. The deal is taxable transaction for U.S. federal income tax purposes for U.S. holders of the Interxion shares. I think there's a couple of things to consider. Look, there were numerous tax considerations when we structured this deal. Their side was well represented and as was ours. We worked and ultimately, we're trying to find as what's the most efficient structure? Quite frankly that allow us to pay the price that we paid. And so, there's a couple of points in the structure we ultimately came up with was that structure, but a couple of points to highlight. One is not all shareholders pay U.S. tax some are exempt. And secondly, not all shareholders have the same basis, right. If somebody bought yesterday, they may have a very minimal gain than they sold today. Third, and I think most bankers will tell you, when you look at it. Taxable transactions are more common when the market value of what's being paid is significantly greater than the tax basis. And the reason for that obviously, is if you get the stepped-up basis, you get tax shelter going forward, which allows us to retain significantly more capital in the company to grow the business. Hence, the ability to pay. And then finally, I think it's important to note, that the way we've structured the transaction, that all tendering shareholders, it's structured to such that they will be able to avoid the 15% Dutch withholding tax as long as they tender. So I hope that answers your question with respect to the tax impact?
Michael Funk: No, that's great detail. Thank you very much, guys
Operator: Our next question will come from Michael Rollins with Citi. Please go ahead.
Michael Rollins: I had two questions on some of the metrics. So, first, in terms of the commentary on cash releasing spreads, can you unpack a little bit more on what happened in the quarter and the experience that you're seeing between the retail and colo side of the business? And maybe some of the larger deployments from your customers? And then, there was a comment about expecting the same store NOI to be better? And I was wondering, if that meant for 2020 less of a decline or actually net positive growth? And just how to think about what's happening in the mix of all of that? Thanks.
Greg Wright: Yes, so let me take the - your second question, then we can circle back on your first one. So within the quarter, yes, we came in at in terms of stabilized NOI growth at the lower end. I think as we said in the commentary, we had about a 1% negative impact from FX rates. We also had another 1% coming in from higher, what I call uncontrollable cost largely around property taxes. And then I'd say, the remaining was tie to what we also discussed with - which was our record expiration year in 2019, despite also having roughly 80% retention, which is a pretty good metric. What I'd say though there is where we see the green shoots is in the fourth quarter, we're at least 15 megawatts into available inventory, which during that - during the quarter was about 40% of our total sign. And seeing in our backlog today, we have about 100 basis points of improved occupancy. In the vast majority of our available inventory right now, I think, is in high demand core markets that we feel pretty positive about the progress within our organic growth going forward. And I think that kind of - that tells also into releasing spreads. We had - within the - more within the year we release over like we said a record year we released over $500 million, slightly down but also did better than we expected. Next year we have a step down in volume of expirations in 2021. So we feel pretty positive about our mark-to-market experience going forward on that front.
Operator: Our next question will come from Erik Rasmussen with Stifel. Please go ahead.
Erik Rasmussen: Yes, thank you. Circling back on the deal you announced yesterday with the 49% - additional 49% the Westin property. What's the ability to sort of expand internally or is there any sort of adjacent land that you could potentially develop on that you can - capture additional opportunities?
Chris Sharp: Yes. Thanks, Erik, this is Chris. So, definitely we're very excited about the Westin Building. There is some ability to expand there and with some of the new offerings that Bill and Matt talked about in the script earlier around, some of the new offerings that we're bringing to market and how they are leveraging a lot more interconnection, we'll be able to provide more value to the existing customer base in there. And there is some more power that we can bring through there. and I think ownership really gives us that ability to really control exactly how we evolve that infrastructure and really make sure that we get the maximum return for our customers. And I'll turn the second part of your question over to Craig, and let him talk about adjacent lands.
Greg Wright: Yes. Thanks, Chris. Thanks, Erik. Look, in terms of adjacent land. I think one thing, it's important, we do own the building next door with our partners at Clise that's important to remember. But I think, one thing about Westin, that it's not just the land next door. I think when you look at the connectivity into Canada and to Asia Pacific, even in to our Hillsboro project. When you look at all that, it is going to give us connectivity across the board and all the connection points. So that's one of the things that's great value with the project like the Westin, if it goes beyond just immediately adjacent - adjacency next door. But instead it goes much broader given the connectivity subsea cables and other things that provide us with that connectivity. So that would be my answer with that. But we - but if there is building, if there is land next door and if I know about it, please let us know because we liked the site. Thank you.
Erik Rasmussen: And then maybe just my follow-up. Any sort of update on Brazil and what sort of happening with the Ascenty, how much did they contribute to the America this quarter? And you're seen things start to what's your assessment of that market right now?
Greg Wright: Erik, it's Greg. Let me, why don't I answer the first question and then let - Let me, I'll start with second question and let Matt answer the first question. Look, I think when we look at Ascenty and you take a look at 2019 versus budget, we're on top of our writing for 2019. And I think a couple of important takeaways in that market, we saw a lot of the - large U.S, cloud service providers, take a lot of space over the last 24 months. With that said, I want to make sure we're clear on that. If you guys remember when we did that transaction there were 14 assets, there were eight existing assets and six under construction. Those 14 assets right now are 99% leased. So I think that's important. We look at underlying demand and the Ascenty platform remains in our opinion, the dominant platform in the region. So we think we're going to continue to see significant follow-on growth opportunities in additional markets like Chile. And we think, what you'll see is, again, I think there was a slight pause in this last quarter, but we'll see that like we see elsewhere, you'll see the, the demand starts to come back from the customers at that point. Once they absorb and we think you're going to see demand pick-up and we think Chris and his team have done a terrific job and they have an attractive pipeline for 2020. But in terms of how much it contributed Matt would be in better position to answer that.
Matt Mercier: Yes. I mean, I think. I think it was the contribution to the quarter was minimal. But what we're seeing right now in the first quarter is an acceleration. They've already signed in the first quarter, more than they did in the fourth quarter. So the positive momentum there in the South American portfolio, similar to what we're seeing in our overall portfolio as the cloud providers continue to ramp up, what we see as their demand overall.
Erik Rasmussen: All right, Matt. Thanks.
Chris Sharp: There is a little bit of - this is Chris, just on the PlatformDIGITALTM element that we talked about in the script. I think you're seeing early days of a lot of customers going into that market. And so we really see that ecosystem starting to really build out there, and it's a critical element that I think it's important to highlight the fact that it's a customer-led expansion down there. And so, it's still early days like Matt was referencing.
Operator: Our next question will come from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Interesting to get the commentary on Ashburn, that's encouraging. Can you just talk about to what extent there is sort of changes in the competitive dynamic there? Are you seeing any change in the kind of positioning of the private players in terms of committing capital or delaying builds any supply side changes? And then it's good to see the lease renewals being spread out from here, but are there any particular churn events we should be aware of or should -do you expect churn to be fairly linear through the year? Thanks.
Chris Sharp: No. I think, Simon, this is Chris, definitely Ashburn is a phenomenal market. It's very unique in the industry as we all know. But definitely from the private competitors, I think one of the things that's often overlooked is the fact that platforms matter in their increasing importance to our customers where they have access to broader revenue in every major market around the globe. And I think also the fact that you can land and expand with us and the work that we've done to build out land banks and beyond what some of these smaller private companies were able to achieve. So that's really a big differentiator for us. And then the overall supply like we had referenced earlier the fact that we've worked with our VMI, or vendor managed piece and a lot of our build outs there, we're very prudent in the way that we can accelerate and build capacity in a very flexible manner to meet that customer requirement and I kind of hand Greg off for the second part of your question there.
Greg Wright: Yes. Thanks, Chris. And Simon, I would say echo obviously everything Chris said, and the other important factor here is, look I think by definition when you look and see at the supply and demand situation, it's still exist in Northern Virginia that we'd be very surprised if you see any private new capital coming in deployed a development property in that market. Now what we have seen is some of that space, to Chris's point, where they may not be leased, that's where you see some of the concessions and a like occurring, but we're keeping our eye on that as well. Going back to Bill Stein's routes to be opportunistic and that's one of the reason Bill and Andy are always preaching that and Matt that we always keep the balance sheet pristine and be ready. So look, I think that's how, as Chris said, he talked about the advantages we're having in the market. We're having success. But we think that's because of our platform. And so look, we'll look to take advantage, otherwise, to the extent we can.
Chris Sharp: Yes. And...
Simon Flannery: And I think on churn...
Chris Sharp: At all. Yes, I'll hit on the churn. I mean I think as you kind of saw in our slides in our remarks, we had an elevated overall exploration pool this year, but our churn was relatively in line with our historical average around 80%. We've got a pretty material step down in our exploration pool for next year and we're actually expecting our churn to be even, well, I'm sorry, our retention to be even better in 2020 than what we experienced in 2019. So we're pretty positive about our overall portfolio and the management of the lease it's coming back at us in 2020.
Operator: Our next question will come from Ari Klein with BMO Capital. Please go ahead.
Ari Klein: On the M&A front, clearly a lot on the plate with Interxion on Westin in the works. But Equinix recently announced the acquisition of Packet. I was interested in your views on whether Digital could pursue similar types of deals as you build out the interconnection platform and are those things customers are asking for?
Chris Sharp: No. Thanks, Ari. This is Chris. I'm happy to talk through that. So it was definitely something that was expected in the market. I think the way that we look at this is we have a philosophical difference there, where we really look at our platform is being open. And one of the core things that we value is not competing with our customers and partners, and one of the things that we often look at is how can we invest in them is rather than compete with them. And so some of the work that we've done building out one of the largest SDN fabrics of the world with our service exchange which is powered by Megaport is something critical to us. But one of the other key elements inside of this is, it doesn't change our focus, right. We're building the only global fit for purpose data center platform and it's underpinned by an open ecosystem approach which we want to allow our partners to provide those higher value - higher value, higher up the stack services like Packet is providing. And so we see our approach in being a foundational element to a lot of our partners and customers, being able to service that bare metal opportunity that Packet has looked at, because there is a lot of customers have out there who have already solved that. And so we'd rather focus on solving for more of the data gravity issues and building out a fit for purpose capability for global reach or partnering with the capability if you will. So that's kind of how we view that transaction happening in the market, but we still see ourselves is aligning with our partners and customers and empowering their solutions in a unique way to solve for this enterprise need on a global basis.
Operator: Our next question will come from Robert Palmisano with Raymond James. Please go ahead.
Robert Palmisano: I made a play that we make the call. So I want to follow up on that on the Packet thing that and possibly adding some additional tools. I mean, I understand the industry not wanting to compete with the customer is now consistently heard that. But do you think maybe there is a point where the industry is a little too religious on that and there could be some more commoditized thing the network being used by some other elements where you could be leaving some money on the table and wouldn't necessarily you take the customers are you getting more direct feedback from them? And then secondly, the follow up, what are you seeing as far as our potential rent roll downs and do you think there is a risk of any of higher churn this year for many customers that might walk rather than move right now? Thanks.
Bill Stein: No, actually, I'll take the first part of that question. So we - one of the things that I think is great about Digital and we spend a tremendous amount of time is we're customer-led, right. And our extreme customer focus is we listen to what their needs are, and one of the elements is you do well right and just continue to do that. And one of the things that we have done very well, which is centered around PlatformDIGITAL is again that global reach and that repetitive nature of a fit for purpose product right. That's very unique in the industry that allows customers to do tab, cage or megawatt. But one of the things that we've looked at is in these higher up the stack services, it's not in our remit. And so when we see a lot of these things happen in other industries, either the service fails or that the service becomes pretty complacent rather quickly, so because it's an ever evolving landscape, particularly around bare metal and there's a lot of customers out there - are companies out there that are creating these bare metal solutions. What we see is happening in the market, as you have a purpose-built infrastructure for certain types of workloads right, and so a tuck-in acquisition like this will only give you so much benefit for so long and us being able to align with some of the bellwether powerhouses in the industry would be a better solution for our enterprises to really get the full benefit out of the deployment with Digital. And the second part of the question, I'll hand it over to Matt.
Matt Mercier: Yes. I think your question again was kind of centered on churn and mark-to-market. And again, I kind of reiterate some of the comments. So we work through a 25% almost of our portfolio this year. We have a material step down. The amount is of our leases and contracts expiring next year. We feel bullish both on our ability to retain above average within that full expiring in this through this year down 2020, as well as our ability to maintain rates and be positive on that front.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Bill Stein for any closing remarks.
Bill Stein: Thank you, Shaun. I'd like to wrap up our call today by recapping our 2019 highlights as outlined here on the last page of our presentation. First, we strategically expanded our global platform, entering Chile with an anchor lease with a leading global cloud provider, acquiring a key land parcel in South Korea and reaching agreements to explore joint venture in India with the Adani Group, and to combined with Interxion to create a leading global provider of cloud and carrier-neutral data center solutions with an enhanced presence in Europe. Two, we successfully executed on our private capital initiative, closing $1.4 billion of asset sales over the last three months and redeploying those proceeds into highly strategic investments. Three, we launched PlatformDIGITAL, a unique global data center platform designed to enable customers to scale digital business and we landed a record number of new logos in 2019. Last but not least, we further strengthen our balance sheet, raising $3.4 billion of long-term debt and preferred equity at a weighted average coupon of 3.1%. As I do every quarter, I'd like to conclude today by saying thank you to the entire Digital Realty team whose hard work and dedication is directly responsible for this consistent execution. Thank you all for joining us and we hope to see many of you on the Spring Conference Survey.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.